Operator: Good afternoon. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the AspenTech Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mark Sullivan. Please go ahead, sir.
Mark P. Sullivan: Thank you, operator. Good afternoon, everyone. Thank you for joining us to review our fourth quarter and full year fiscal 2013 results for the period ended June 30, 2013. I'm Mark Sullivan, CFO of AspenTech, and with me on the call today is Mark Fusco, President and CEO; Antonio Pietri, EVP of Worldwide Field Operations and CEO designate. Before we begin, I will make the usual Safe Harbor statement that during the course of this call, we may make projections or other forward-looking statements about the financial performance of the company that involve risks and uncertainties. The company's actual results may differ materially from such projections or statements. Factors that might cause such differences include, but are not limited to, those discussed in today's call and in our Form 10-K for the fiscal year 2013, which is now on file with the SEC. Also, please note that the following information is related our current business conditions and our outlook as of today, August 15, 2013. Consistent with our prior practice, we expressly disclaim any obligation to update this information. The structure of today's call will be as follows: I'll begin with a review of our financial results for the fourth quarter and fiscal year and then Mark will discuss some additional business highlights before we open up the call for Q&A. Let me begin by reviewing the supplemental metrics that we provide, starting with our term contract value or TCV metric, which measures the renewal value of our multiyear term contracts. Growing TCV is a key focus for us and we increase the value of the metric by adding new customers, expanding product usage and increasing prices across our customer base. Our license-only TCV was $1.65 billion at the end of the quarter, which was up 13% compared to the end of fiscal 2012 and up 4.7% on a sequential basis. Including the value of bundled maintenance, total term contract value was $1.9 billion at the end of the quarter, which was up 15.1% compared to the end of fiscal 2012 and up 5.5%, sequentially. Our annual spend metric, which is a proxy for the value of our recurring term license business at the end of each period, specifically the annualized value of our term license and maintenance revenue, was approximately $338 million at the end of the quarter. This represented an increase of approximately 11.1% on a year-over-year basis and 4.9%, sequentially. As a reminder, the growth of our annual spend metric should be slightly lower than the growth in our licensed TCV metric, though there can be some quarter-to-quarter variability. Licensed TCV is calculated using each contract's terminal year annual payment and, therefore, takes into consideration the total price escalation over the course of a multiyear time period, whereas annual spend only takes into consideration the current year's level of spend. Now let me turn to our financial results on a GAAP basis. Total revenue of $83.3 million was up 30.1% from $64 million in the prior-year period and exceeded the high end of our guidance range. Looking at revenue by line item, subscription and software revenue was $65.2 million for the fourth quarter, which is an increase from $45.8 million in the prior-year period and $60.9 million last quarter. During the fourth quarter, we had approximately $200,000 of subscription and software revenue that was related to perpetual licenses and $2.2 million related to legacy term license arrangements not recognized on a daily basis. As we indicated last quarter, this level of additional detail is increasingly less relevant to our subscription revenue now that we are more than halfway to our revenue model transition and we will not be reporting on these metrics on a going forward basis. Our growing subscription business positively impacts our deferred revenue balance, which was $231.4 million at the end of the fourth quarter, representing a 23.6% increase compared to the end of the year-ago period. Finally, services and other revenue was $18 million compared to $18.2 million in the year-ago period and $18.5 million last quarter. As we discussed before, maintenance revenue is increasingly being reported within the subscription revenue line as more contracts are converted to the new aspenONE licensing model, where maintenance is included as part of the subscription fee. As a result, we continue to expect the run rate in our services and other revenue line to be variable quarter-to-quarter, but trend downward as our revenue model transition completes. Turning to profitability. Gross profit was $70.3 million in the quarter with a gross margin of 84%, which compares to $50.9 million and a gross margin of 80% in the prior-year period. Operating expenses for the quarter was $54.9 million, up slightly from $54.5 million in the year-ago period. Total GAAP expenses, including cost of revenue, were $67.9 million, which was up slightly from $67.6 million in the year-ago period. Expenses were up from $63 million last quarter due to typical expense seasonality at the end of the fiscal year, including increased sales compensation. For the year, total expenses were $255.8 million, which was below the low end of our guidance range and $2.4 million lower than fiscal year 2012's total expenses. While we are focused on continuing to improve the efficiency of our organization, we will continue to make investments across the company in order to position the company for strong growth. We have a long history of solid expense management and it's something that we remain focused on moving forward. Operating income was $15.4 million for the fourth quarter of fiscal 2013, an improvement compared to an operating loss of $3.6 million in the year-ago period. Net income for the quarter was $20.4 million or $0.21 per share compared to a net loss of $5.4 million or $0.06 per share in the fourth quarter of fiscal 2012. During the fourth quarter, we simplified our Canadian corporate structure, which resulted in a noncash tax benefit of approximately $9.8 million or $0.10 per share. Turning to non-GAAP results. Excluding the impact of stock-based compensation expense, restructuring charges and amortization of intangibles associated with acquisitions, we reported a non-GAAP operating income for the fourth quarter of $18.9 million and a non-GAAP net income of $22.7 million. This represents an improvement from a non-GAAP operating and net loss of $859,000 and $3.5 million, respectively, in the year-ago period. Our non-GAAP income per share was $0.24 in the fourth quarter of fiscal 2013, based on 95.3 million diluted shares outstanding compared to a non-GAAP loss per share of $0.04 based on 93.6 million basic shares outstanding in the fourth quarter of fiscal 2012. We exceeded the high end of our non-GAAP EPS guidance range by $0.16 for the fourth quarter with $0.10 of that due to the noncash tax benefit that I referenced earlier. The reconciliation of GAAP to non-GAAP results is provided in tables within our press release, which is also available on our website. For the full fiscal year, our revenue of $311.4 million was 28% higher year-over-year. GAAP operating income of $55.6 million improved from a loss of $15 million in fiscal 2012, while non-GAAP operating income of $70.9 million improved from a loss of $2.8 million in fiscal 2012. We expect continued improvement across these metrics in fiscal 2014, the fifth year of our 6-year revenue model's transition. Turning to the balance sheet and cash flow. The company ended the fourth quarter with $224.8 million in cash and marketable securities, an increase of $10.7 million from the end of last quarter. From a cash flow perspective, the company generated $33.9 million of cash from operations during the fourth quarter and $31.9 million of free cash flow, bringing the full year total to $146.6 million in cash from operations and $143.1 million in free cash flow. This was well above our most recent guidance of $130 million and it is up from $104.6 million of operating cash flow and $99.9 million of free cash flow for the full year fiscal 2012. Looking ahead to fiscal 2014, we are raising our free cash flow guidance to approximately $160 million, which compares to our prior preliminary guidance for fiscal 2014 of $145 million to $155 million. With that, let me turn it over to Mark Fusco. Mark?
Mark E. Fusco: Thanks, Mark. And thanks, everyone, for joining us today. The fourth quarter was a strong finish to a very good year for AspenTech. We exceeded our guidance against each of our key metrics, revenue, profitability, total license contract value growth and free cash flow. In particular, our total license contract value growth of 13% exceeded our 11% guidance and free cash flow of $143.1 million represented a year-over-year growth in excess of 40%. We are pleased with our sales performance throughout the year as we posted our fourth consecutive year of double-digit total license contract value growth, even as we were up against the difficult year-over-year compare. We are seeing solid customer demand across each of our core verticals and on a worldwide basis. We continue to deliver solid growth even as the global macro environment remains challenging. While no company is immune to macroeconomic pressures, our fourth quarter results are a clear demonstration that we continue to execute well. The mission-critical nature of our solutions, strong market position and the fact that our contracts are typically for 5 to 6 years helps our business mitigate the impact of economic fluctuations. We saw a strong demand across each of our big 3 verticals and across our major product lines. Energy, engineering & construction and chemicals, once again, represented 90% or more of our business during the fourth quarter with engineering & construction representing the largest vertical followed by energy and then chemicals. At the end of fiscal 2013, energy represented 39% of the total license contract value, chemicals represented 26% and engineering & construction represented 30% of our TLCV. From a geographic perspective, we do not get overly focused on quarterly results because our detailed metrics vary quarter-to-quarter based on the timing of a relatively small number of sizable transactions. That said, I could share that our business momentum remains solid on a global basis over the course of 2013. At the end of fiscal '13, North America represented 42% of total license contract value, Europe represented 32% and other international regions represented 26% of our TLCV. We have a broadly diversified business with a significant market presence in all major geographies. And it's also important to note that approximately 80% of our business is denominated in U.S. dollars, which helps to mitigate the impact from recent fluctuations in foreign exchange rates. Looking at our 10 largest transactions in the quarter, there was again a mix of engineering and manufacturing & supply-chain driven deals. We saw solid demand across our major products, both for the quarter ended fiscal year. In terms of total license contract value closed during fiscal '13, the mix was 61% engineering and 39% manufacturing & supply chain. We are pleased with the performance of both product suites and we see a significant opportunity to cross-sell our manufacturing & supply chain solutions into our sizable engineering install base. 2013 was an exciting year from a product perspective as well, as we released aspenONE version 8, which included a new version of HYSYS, a new refinery planning solution, new crude assay functionality and new functionality in advanced process control and energy and economic analysis. We also brought to market the Solid's modeling functionality we have acquired from SolidSim, which is a milestone event for our strategy of expanding our product footprint through selective tuck-in acquisitions. During the year, we also made 2 other tuck-in acquisitions with the acquisition of Software Assets from PSVPlus and the dock scheduling and pipeline scheduling software from Refining Advantage. We will be bringing these products to market soon and we see these types of acquisitions as a cost-effective way to bring new products to market faster and drive increased usage of aspenONE across our customer base. We are also receiving good customer feedback from our focus on delivering new software releases on a quarterly basis. We are pushing the pace of innovation in the process optimization market and the quality and quantity of software we are releasing is further positioning AspenTech as the clear industry leader. We are focused on bringing additional exciting product releases to the market in the coming year and we think there is a substantial opportunity to drive increased adoption of our expanding aspenONE platform across our customer base. While we are making the investments necessary to generate significant total license contract value growth, we continue to demonstrate that expense management is a core competency at AspenTech. 2013 represented the third consecutive year of essentially flat total expenses, during which time TLCV has consistently grown above 10%. Over time, we expect to experience a modest level of expense growth as we make the investments necessary to position AspenTech to fully capitalize on our attractive long-term growth opportunities. However, we believe the unique nature of our aspenONE platform, our vertical market focus and our long-term contracts position AspenTech well to continue scaling our business in an efficient manner. Our solid growth and increasing efficiency is enabling the company to generate substantial levels of free cash flow, which we are utilizing to enhance shareholder value via capital returns. During the fourth quarter, we spent $25.4 million to repurchase 846,000 shares. For the full fiscal year, we spent $84.7 million to repurchase 3.1 million shares and we repurchased 6.3 million shares for $141 million since initiating our stock repurchase program in fiscal year 2011. We are well positioned to continue returning capital to our shareholders with nearly $225 million of cash on the balance sheet and guidance for approximately $160 million of free cash flow for fiscal 2014. Lastly, as you know, this call marks my final one as the CEO of AspenTech. We are now 3 months into the transition process of Antonio Pietri taking over as CEO from his current role as Executive Vice President of Field Operations. Since last quarter, Antonio has been actively involved in all aspects of this job alongside me, including having an opportunity to speak with many of you in the investment community. As those of you who have had the chance to meet him personally and saw firsthand, Antonio has an excellent grasp on AspenTech's business, our customers and a significant growth opportunities ahead for the company. As for me, I'd like to thank our shareholders for their support of AspenTech over the years and entrusting us with their capital as we work to successfully turn the company around. I'd also like to take this opportunity to thank each of AspenTech's 1,300-plus employees for their hard work and dedication during my tenure here. There is still much to be accomplished and I'm confident that the company will continue to deliver on this potential. With that, I'll turn it back over to Mark.
Mark P. Sullivan: Okay. I'd like to close with some additional thoughts regarding our financial outlook for fiscal 2014, which we initially provided at our Analyst Day this past June. We continue to target full fiscal year 2014 revenue of $353 million to $363 million. From a mix perspective, we continue to expect subscription and software revenue to be greater than 80% of the total, with our services and other line representing the remainder of our total revenue. From an expense perspective, we continue to expect total GAAP costs and expenses of approximately $265 million to $275 million for the full year. Taken together, we expect GAAP operating income in the range of $78 million to $88 million for fiscal 2014 with GAAP net income of approximately $46 million to $52 million or $0.48 to $0.55 per share. From a non-GAAP perspective, we currently expect non-GAAP operating income in the range of $94 million to $104 million for full year fiscal 2014. This could lead to non-GAAP earnings per share in a range of $0.60 to $0.66 for the fiscal year. Although we are now past the halfway point of our revenue model transition, I'd like to reiterate that our P&L was still not a meaningful indicator of our business performance and it won't be until after our revenue model transition is complete in fiscal 2015. With respect to total license contract value growth in fiscal 2014, we continue to target a double-digit growth rate over fiscal 2013 and remain optimistic about our outlook based on continued high customer interest levels as we enter the new fiscal year. As previously -- as mentioned previously, we are increasing our fiscal 2014 free cash flow guidance to approximately $160 million, which is up from our prior guidance of $145 million to $155 million. Our cash flow continues to be positively impacted by the underlying momentum in our business, along with our focus on expense and working capital management. We expect our free cash flow to be weighted to the back half of the fiscal year, with the third quarter being the largest contributor to free cash flow. This is due to the timing of when we invoice customers and their payments become due. As it relates to the first quarter, we expect revenue in the range of $83 million to $86 million, non-GAAP operating income of $22 million to $25 million and non-GAAP EPS of $0.14 to $0.16 per share. On a GAAP basis, we expect operating income of $17 million to $20 million and income per share of $0.11 to $0.13. To summarize, we are pleased with the underlying momentum in our business and the improving profitability and cash flow generating characteristics of the company. With that, we are now happy to take your questions. Operator, let's begin the Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Let me start with Mark Fusco. Congratulations on such a successful tenure as CEO and we will miss you on these earnings calls. On to the business. Can you kind of characterize, when you talk about -- you still have this large opportunity in terms of penetration within the engineering base, how much of that is the add-on of additional technologies that you've begun to roll out over the last year versus what else can you do to drive further usage within that base of just the existing products that you've had there for years?
Mark E. Fusco: So, I'd take this a couple of different ways. So firstly, in the Engineering Suite, and it was broken into a couple of pieces here. In the Engineering Suite, we think that there's lots of opportunity for additional usage of some of the core applications that we had. Some of this is product release cycle driven from the past and right now, we have a very integrated suite of software. It's very easy to use all the different products simultaneously. And in fact, when we released some software recently, a lot of the software now runs on an activated basis. So it just works together. So all of it can be used simultaneously. So we see there's lots of opportunity to use some of the core applications that we've had for quite some time in the engineering space. Now we're bringing out lots of new things as well, which we think will drive usage and, ultimately, revenues for the company going forward, like SolidSim, which I -- we talked about in my remarks, just a minute ago. So we see lots of opportunities to drive increased usage of our software through some of the new things that we're doing as well. You saw at the user conference the aspenONE software that came out, and also our own little version of an app store, aspenONE Exchange, which we think will help drive some usage as well. And in the manufacturing & supply chain space, we certainly sell it a little bit differently, but we also believe there's lots of additional opportunity to drive growth in core applications that we've had for quite some time, both from a cross-selling and engineering customers, but also just with the core MSC customers that we've had over time. As you know, we've been in the process since 2008 or so of migrating our perpetual install base and manufacturing to a term contract of the aspenONE licensing model for MSC and we're well along the path, but there's still lots of work to do here to migrate customers and to continue to get them converted and using more of our term applications. So I think it's a multiple different growth strategy here around product usage. But at the end of the day, we need to invest in the products, which you can see from our P&L, we're about 16% of pro forma revenue in our R&D suite for the year. We continue to do that. I think it continues to separate us from our competitors. And we see that it's a big advantage going forward. If you look back at the company's history, the revenue model change of 5 years or 4 or 5 years ago now, was an important switch. We have lots of technology and the aspenONE suite really works together now with the commercial model in a seamless way. And it's much simpler for our sales force to bring it to the market. So I think there's lots of ways that we can grow the business. And as you know, we've been an organic growth company for the past N number of years since I've been here. I think that will continue going forward. There will be additional tuck-in acquisitions and things along the way, I'm sure. But the best growth is organic growth, and given the kind of commercial strategy that we have and product strategy we have, we see lots of opportunity.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: One follow-up question. You had talked about, even as far back as a year ago or even more, some of that legacy perpetual base and how some of the changes to the pricing model in aspenONE and having certain products only available in that aspenONE licensing program will give you an opportunity to convert. Can you quantify or somehow describe to us what kind of success you saw within that opportunity in particular?
Mark E. Fusco: I can't really quantify simply for you on the call. We've not given out any of that information. And we have just recently started doing this recently where the new releases of software, some of the new things, and I mentioned some of it in my prepared remarks here, aren't available on a point product basis. You can only get them as part of the aspenONE suite. So it's early days yet for that, but we are seeing lots of interest in it, which is driving demand. We did a number of deals in the fourth quarter that were somewhat related to that. And we think it's going to be an important part of the final conversion. And then the renewing of all the term license MSC contracts, which were sort of old style, into aspenONE's licensing model going forward. So I think it's early days yet, but it's going to be a key important point for us.
Operator: Your next question comes from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: And Mark congratulations, we're going to miss you there. Hopefully, you have fun on your next adventure. You guys had great leverage in sales and marketing line, better than we expected. So I was wondering what may have accounted for sort of the lower expenses on that side? And then as we head into the new fiscal year, if you anticipate any changes in the sales and distribution strategy?
Mark E. Fusco: So, we are getting very good leverage over the past 5 or 6 years since Antonio came and took over running sales. We've gotten a lot of good leverage out of the sales and marketing lines as you can see. We're selling a lot of things now with roughly the same cost that we had in sales & marketing, probably 6 years ago. We're doing the same thing. There's a little bit of a mix issue going on here. We talked a little bit in the past about our sales strategy for smaller customers and developing an inside sales model. So we've been building that out and adding headcount to that, but it's generally a little bit less expensive of a sales channel than the direct sales force. The sales and marketing line bounces around a little bit from year to year. I mean if you look back over time, you can see it. So I think it's a little bit of a mix issue but we have clearly been investing in our sales and marketing but we're getting a lot from it. As I look at the overall long-term plan that we have out there, we really want our sales and marketing line to be roughly 25%, give or take, of what would be normalized revenue for the company. And we're sort of in that range. So I think we're right where we should be. We're investing appropriately. We clearly couldn't be growing like this if we were short staffed or otherwise. There may be a little bit of comp here or there or other things. But it's generally a mix issue and the company is focused really during Antonio's tenure of squeezing a lot out of the channel and making sure that we're doing it in a cost-effective way. If you look back in time, we are way over spending in sales and marketing from a dollar perspective given the size of the company, and it's taken some amount of time to get it into the right ratio. So I think we're right where we should be. And I would expect that there'll additional investment in this area going forward on a nominal basis to capture the market the way we should.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Great. Then Mark, you mention the macro a little bit. Any color on emerging markets which have been good markets for you, did you see anything in particular in one way or the other in those markets? Because it's been a challenge for some people in the second quarter?
Mark E. Fusco: We were -- we had a very good fourth quarter. So our June quarter was very solid across all the different regions and when you look at how they did, and that just wasn't a one quarter issue, we really had solid performance for the entire of fiscal '13 in all the different geographies. We didn't see the slowdown in Europe that maybe some other companies have seen. We saw good growth in our channels and Telesales, a small company sales business. North America had a very strong year. The Middle East, for the first time, since we took it back from the reseller, a number of years ago had a very nice growth year. So overall, it was solid across the world. I wouldn't call out anyone in particular. It was just a very good quarter and we really didn't see weakness anywhere.
Brendan Barnicle - Pacific Crest Securities, Inc., Research Division: Great. Then lastly, Mark Sullivan, what is simplifying the company's Canadian corporate structure mean? That's a big benefit -- that's a pretty good benefit. What exactly did you do?
Mark P. Sullivan: Well, I'd put it in the category of really entity cleanup. I mean, we just are simplifying the corporate structure, collapsing some entities into other entities because they don't necessarily have any use anymore, the company is 30 years old. Really, it's a noncash -- it's just resulted in a noncash benefit. It's not going to return any cash to us, but it's just sort of a weird kind of book accounting outcome, if you will, of a cleanup. The only thing -- other thing I'd mention in the context of the tax question is get time to read the K, we did -- as you know we had a material weakness in tax and so we put big effort to simplify things and clean things up as part of remediating that material weakness, which we successfully did this fiscal year. So gratified in saying now, we don't have any, we have a totally clean opinion. For the first time here, I think in the company's history, yes, that was all part of really trying to get rid of complication that just wasn't necessary. It just resulted in kind of a very esoteric book accounting outcome. But it's a noncash item, one time.
Operator: [Operator Instructions] Your next question comes from the line of Mark Schappel with Benchmark.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Mark, again, congratulations on your tenure at AspenTech. Just going back to something I cropped up last quarter on the call. It had to do with PDVSA and renewing that large contract. I was wondering if that contract, they get renewed in the quarter?
Antonio J. Pietri: I'll take that question. This is Antonio. We did manage to renew part of those PDVSA contracts. We're working on the rest and they will come as we can -- however, as when we can close them. But it was part of those contracts that was renewed.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay. Great, thanks. And then Mark, in the past, plant owner operators have made up about 80% of your business. I'm wondering if that helped through during our fiscal ‘13.
Mark E. Fusco: Yes. It was a little bit different this year. We've got our E&C business is roughly about 30% of our overall business now. So we're sort of 70-30 now when you look at the makeup of the business. The E&C business has been strong over the past 2 or 3 years and it's increased in size from the overall pie. But 70% owner operator is still a large chunk and I think it's within a nice range.
Mark W. Schappel - The Benchmark Company, LLC, Research Division: Okay, great. And then finally, Mark, any comments or observations on the big transaction in your space over the last quarter with Invensys?
Mark E. Fusco: No comment, really.
Operator: Your next question comes from the line of Sterling Auty with JPMorgan.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: We can't let you guys off that easy, even if it is late August. So let's talk about a couple of things. First, Mark -- Mark Sullivan. The increase in the free cash flow guidance is pretty healthy in light of the same -- holding consistent with TLCV. You mentioned kind of the expense. Where is the added improvement in free cash flow stemming from in terms of the guide?
Mark P. Sullivan: Well, I think it's a couple of things, meaning, we said what we would do at Investor Day is we'd true up next year based on how collections happen at the end of the year. That is sort of in the mix, if you will. And then I say, additionally, we had above expected growth in the fourth quarter. And that's flowing through into cash flow for next year as well. Those are the predominant explanations for why we're taking it up.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay. And you talked about consolidating legal entities in Canada. Is there opportunity to do similar items in any of the other geographies and will that actually lead to some cost savings when it comes to audit fees and tax compliance as you have fewer legal entities?
Mark P. Sullivan: Yes. I wouldn't say materially. This is a -- we've actually been on a multiyear journey to cleanup old entities and it's one of the many things that Mark Fusco kicked off in terms of straightening out the company when he got here. So we've been doing that over a period of time. Most of them are invisible, we just collapse an entity into another entity and there's been some minor savings associated with that, but certainly a big reduction in the complexity tax and the ability to have issues on tax in particular. So this one just happened to generate a visible outcome in the tax expense line. But we've been doing that on an ongoing basis, been part of the simplification of the business, if you will, over time.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: I'm sure the total headcount is in the K, but can you give us total sales and marketing headcount. I know you never liked breaking out the quota-carrying, in particular, but can you at least give us a total sales and marketing headcount at the end of the year?
Mark E. Fusco: Yes. The total group that's sort of customer-facing is just about 300.
Sterling P. Auty - JP Morgan Chase & Co, Research Division: Okay, great. And last question, if Antonio is still right there. As you think about fiscal '14, anything different in terms of how you're prioritizing sales focus to drive that double-digit TLCV growth?
Antonio J. Pietri: No, but I mean, as I've said to some of you when I met you in the May, June timeframe, one of the initiatives that we've been driving in the last 18 to 24 months is bifurcating the sales organization and having the field sales organization focused on our top 350 accounts and then we set up an inside sales organization that focuses on the rest of our customers. We will continue to put emphasis on that. You are starting to see the productivity gains from that and that'll be an area where we'll continue. We'll certainly look at our potential for growth and the need to invest in emerging geographies and other places. But that would be it. And on a daily and regular basis, we're focused on driving productivity out of every sales account manager and within that, we have a lot of specific initiatives that we drive to increase our productivities.
Operator: At this time, there are no additional questions. I'd like to turn it back over to management for closing remarks.
Mark E. Fusco: Okay, thank you, operator. Thank you again to all of you for attending the call today and in your interest in AspenTech over the years that I've been here. I'm very appreciative to all of your support and we've got many shareholders and sell-side coverage analysts who have been with us for a long time, from what were some very difficult times and you never stopped believing in our company and many of you held our stock during times when we were delisted and other things. And I'm very appreciative of all that support during my tenure. I've learned a lot from all of you as I've had the opportunity to go around and meet you and talk to you on a quarterly basis at various places. We try to do the best that we could here, while I've been here, to try to make you the most money and be the most responsive that we could to you, and I'm very appreciative for all the support that we've got going forward. And then lastly, to the Aspen staff, thank you to all of you. We've had a very good performance, it's because of all the things that you've done and all the hard work. And then to Antonio, my best wishes. I know the company's going to be doing great under your leadership and I've had really the privilege to work with you for the last 8.5 or almost 9 years now together and it is a great pleasure to turn this over to you. So thank you to everybody and have a good night.
Antonio J. Pietri: Thank you, Mark.
Operator: Thank you. This concludes today's conference. You may now disconnect.